Operator: Good morning and welcome to the CEVA Inc First Quarter 2012 Earnings Conference call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I’d now like to turn the conference over to Richard Kingston. Please go ahead.
Richard Kingston: Thank you and good morning everyone. Welcome to CEVA’s first quarter 2012 earnings conference call. I’m joined today by Gideon Wertheizer, Chief Executive Officer of CEVA and Yaniv Arieli, Chief Financial Officer of CEVA. Gideon will cover the business aspects and the highlights from the quarter and Yaniv will then cover the financial results for the first quarter of 2012 and will provide financial guidance for the second quarter and fiscal 2012. I’ll start with the forward-looking statements. Today’s conference call contains forward-looking statements that involve risks and uncertainties, as well as assumptions that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include financial guidance for the second quarter and full year of 2012, market data from Wireless Intelligence, Strategy Analytics, and Informa Telecom incorporated herein; optimism about our ability to expand our addressable licensing markets, strength of the 3G and LTE markets, recovery and stability of the 2G markets and our ability to capitalize on the trends; predictions that Nokia and the impact on our business as well as our projection of the number of CEVA powered devices in the future. The risks, uncertainties and assumptions include the ability of the CEVA DSP cores and other technologies to continue to be strong growth drivers for our success in penetrating new markets and maintaining our market position in existing markets, the ability of products incorporating our technologies to achieve market acceptance, the ability of intense industry competition and consolidation, global chip market trends; the possibility that our markets for our technologies may not develop as expected or that products incorporating our technologies do not achieve market acceptance, our ability to timely and successfully develop and introduce new technologies, and general market conditions and other risks relating to our business including, but not limited to those that are described from time to time in our SEC filings. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. With that said, I’d now like to turn the call over to Gideon.
Gideon Wertheizer: Thank you, Richard and welcome everyone. We’re pleased with our solid start to the year, which was driven by strong licensing revenues. Total revenue for the first quarter was $15.1 million, in the high-end of our guidance range and flat compared to the first quarter of 2011. While we experience some expected toughness in the Royalty growth, which were discussed during the fourth quarter earnings call. These were partially offset by better than expected licensing revenues of $5.1 million, resulting from important agreement with key and existing – key new and existing customers. Royalty revenue was $9.1 million which is in line with the first quarter of 2011. Yaniv, will further elaborate on our financial achievement, including our recent share buyback activities and we will also provide you with our second quarter 2012 guidance and revised annual 2012 guidance. Based on a few trends which I will elaborate on shortly, we’re taking a cautious approach at this time and revising downward our annual 2012 guidance. During the first quarter we concluded eight new license agreements. Six of the agreements were for our CEVA DSP cores, platforms and software, and two for our SATA/SAS technologies. Geographically three of the license agreements were in the U.S., four were in Asia and one was in Europe. A new DSP agreement with both new and existing customers addressing smartphone opportunities in all of this market key growth segment, from local smart market 3G handset to the premium LTE phones. The targeted peers of our DSP within smartphone extend beyond baseband into advanced voice and audio processing that has become distinctive and differentiating features recently. These clearly illustrate the strength of our diversified product portfolio, enabling us to generate solid licensing revenues and future royalty stream from incremental DSP socket. On this point, I’d like to elaborate on the key dynamics for our diversified product strategy. Although the last year yields we have gradually extended our product offering and customer base, both with regard to our core cellular baseband product and new multimedia offerings, a relatively untapped segment for us. Our broad product portfolio for cellular baseband includes DSP cores suitable for every flavor of the market. Our TeakLite-III DSP is now been declared for baseband processing by all of our key customers targeting mass market 3G smartphone were cost and power consumption are the key metrics. In these respect two of the licensing agreement signed during the first quarter of 2012 were for the TeakLite-III DSP, including a multi-use agreement for high volume WCDMA and TD-SCDMA handset for emerging economy. On the other hand of the spectrum for cellular baseband, we offer the industry most advanced DSP architecture, the CEVA-XC. At the Mobile World Conference event in February, we launched our latest DSP for baseband, the CEVA-XC4000. The XC4000 target LTE advanced and the next-generation LTE standout capable of 10 times the data speed of LTE and also can be utilized for the first time to support Wi-Fi 802.11ac on the same processor. The XC4000 represent a significant step-up from its predecessor XC323. It is also in a series of six DSPs with different performance capabilities level. It can serve a range of wireless applications from handset to small cell base-station and up to a macro base-station. The base-stations spread is a local key market for us where we can take advantage of our technologies in DSP architecture versus incumbent such as TI and Freescale to expand our visible licensing market as well as exploit future royalties opportunities. On the multimedia front, with also audio and voice platforms integrating our local DSP engines with large portfolio DSP software, offered by us or by our ecosystem partner. These audio and voice platform product are strategically aimed to address the transition to our high quality Wideband voice call combined with sophisticated noise suppression technology necessary to enable advanced LTE services, such as voice-over-IP and voice recognitions. This aspect three of the licensing agreement signed during the first quarter of 2012 were for these exact application, including a strategic agreement with a U.S. based company with an already strong presence in the mobile space. Early last month we launch a new DSP architecture, TeakLite-4. This is the fourth generation of our successful TeakLite DSP architecture and target audio and voice application for smartphones, home and automotive markets. TeakLite-4 is also in the series of four DSPs with various performance and diphase measures and with a unique power management technology allowing up to 40% power reduction versus its predecessor the TeakLite-III DSP. Now let me make a few comments about trends in handsets based on our DSP technology. I will start with Nokia. After announcing its first quarter 2012 results, it is apparent that Nokia faces challenges in its business. As you may now Nokia has two product categories, smartphone which is approximately 20% of Nokia volume shipment and mobile phone, which is approximately 80% of its volume shipment. The issues Nokia is experiencing with the smartphone are widely discussed in the market. But it is important to note that CEVA DSP technology currently are not focusing to the news in these product category. In the mobile phone category, Nokia Q1, 2012 results and Q2, 2012 guidance reflect a noticeable volume reduction primarily due to competition from China based OEM with broader portfolio of feature phones with smartphone (indiscernible) such as touch devices. Nokia is a large user of CEVA based chips. We’re widely used in the new Nokia 2G phones. While the 3G phones we have noted in previous calls that we’re expecting to grow our market share within Nokia significantly, replacement -- replacing the incumbent supplier Texas Instruments. Our prior guidance for the year 2012 did take into consideration both continually 2G growth and 3G volume ramp-up for the second half of the year. We believe that the underlying fundamentals behind the recent announcement by Nokia shed some uncertainty on the recovery in the 2G space and the timing for the 3G ramp up. For the last night Broadcom earnings call, Scott McGregor stated that Broadcom no longer expect material revenue from Nokia 3G baseband this year. We’ve decided therefore to take a prudent approach and reduce the revenue contribution from Nokia, both in the 2G and to a larger extend in the 3G space for this year. We’ll continue monitoring Nokia products and we’ll modify our guidance accordingly. Yaniv will provide more details on this matter in few minutes. Other than the Nokia-related [threshold], our royalty growth trajectory remains on track. Let me provide you with more details on this trend. I’ll start with the 3G space. From a volume perspective, the 3G market is the sweet spot of the handset market. Both the transition from 2G to 3G in the emerging economy and opportunity to capture market share from incumbents such as Qualcomm and TI, drive our customer growth. The wireless intelligence, we’ve currently 1.4 billion 3G subscribers worldwide, which are expected to grow to 3.2 billion subscribers in 2015. The dominant theme is bringing smartphone functionality to a lower cost form factor that will extend smartphone franchise beyond planning devices such as iPhone 4S and Samsung Galaxy S2. According to research from Informa Telecom, 81% of the smartphone shipped in 2011 were sold at a wholesale price above $300. This proportion is expected to decline to below 50% in 2016. In China, operators are aggressively offering smartphone; it is low as $150, which is exactly the price point that Samsung set for its low-end on grade base Galaxy Y that is enabled by our DSP. We’re encouraged by the progress our customer have in the 3G space. Although we cannot be specific at this stage on the magnitude of the 3G ramp up, we can say between the first quarter, excluding the iPhone shipment, we experienced more than 2X sequential volume increase to some of our key customer in the 3G space. Here are few examples of high volume products. Broadcom continue to expand with Samsung with front models such as Galaxy mini 2 and Galaxy SII in addition to the Galaxy Y that I mentioned above. This is in addition to Broadcom in the U.S, with China domestic handset suppliers such as ZTE, G5 and TCL and the pending volume ramp up at Nokia. Intel came out with the Medfield platform and announced within phones with Motorola, ZTE, Lenovo and Orange. It also gave a high profile 3G win at HTC 1x smartphone for with baseband chipset. Spreadtrum announced that it is equipped in the TD-SCDMA version of the Samsung Galaxy Note for China Mobile. It is the second Samsung smartphone powered by Spreadtrum calling the Galaxy S2, which started to shoot at the end of last year.
]: As for the 2G space, the royalty revenue reported for this quarter, which represent the fourth quarter of 2011 shipments reflects softness in the 2G phone shipments by China-based volume. From the royalty reports we collected from our customers in the 2G space on their first quarter 2012 shipment, it appears that excluding Nokia, the fourth quarter of 2011 was the better of the trend and there is already a step-up in shipments and orders. However, given its market maturity and the commoditization, competition is fierce, which puts pressure on ISP. MediaTek CFO commented recently that it expect 25% to 30% year-over-year decline in the 2G ASP. As a result, we expect further decline in the royalty ASP in specific the low tier feature phone. In terms to generalize, the 2G market which is shipping an excess 1.3 billion unit annually, which focuses to stay at this level through 2016, according to Strategy Analytics focus. This market has its own dynamic and revenue growth driver in terms of the low cost smartphone and the smartphone user experience upgrade from GSM to EDGE, the unfit market in Africa and the promising machine-to-machine application. Our customers in this space are well positioned to address the market opportunities and determine to capture share for the largest incumbent project. Royalty, according to market research firm, Strategy Analytics, LTE phone shipments are expected to grow plentiful to 67 million units in 2012. Yet, this is still very slow market share out of the modern 2.5 billion unit cellular baseband shipment. High volume prospect is worth attract our customers who can offer value in terms of low power and cost efficiencies. Example, includes Samsung Galaxy Note for Verizon which include the new version of Samsung LTE baseband chip enabled by DSP. It’s been estimated that half of the cost of their prior chip. Spreadtrum announced at the beginning of 2012, the visibility of its first LTE chip, the SC9610 designed at 40-nanometer CMOS silicon it integrates multiple cellular standard on to a single chip including TBLT, TD-SCDMA and EDGE GSM. Broadcom demonstrated its CEVA-powered LTE chip at the recent Mobile World Congress, (indiscernible) general comments about field testing. We’re currently expecting other customers among which is a Tier 1 OEM to rollout in the market, LTE chips this year and early next year. So to summarize our prospect and the trends in the baseband market, the 2G space carries majority of the baseband volume globally. After one quarter of softness, volumes are getting back to normal levels and we expect to maintain our strong portfolio. The 3G segment possesses big opportunities for us to gain market share as evidenced by numerous new handsets enabled by our DSP such as Samsung, HTC and Huawei. In addition, we continue to believe that the Nokia transition to our 3G baseband customer materialize. As for royalty, although the market is still small compared to other segments, our customer who traditionally take a follow often have started to realize design wins, therefore free testing and start initial production. All in all, we believe that we’re capable of powering 1.7 billion CEVA-based devices in three years timeframe versus 1 billion in 2011. With that said, I’ll now turn the call over to Yaniv, who will outline our financials and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll start by reviewing the results of our operations for the first quarter of 2012. Revenue for the first quarter was $15.1 million, close to the high-end of our guidance range reflecting a flat year-over-year comparison. The revenue breakdown was as follows. Licensing revenues were $5.1 million reflecting 34% of the total revenue and similar to the first quarter of last year. Royalty revenue was $9.1 million, reflecting 60% of our total revenue and comparable to the first quarter of last year. Service revenue was $0.9 million reflecting 6% of total revenue, 29% higher than the first quarter of last year. Gross margins were 94% to 95% on U.S. GAAP and non-GAAP basis respectively, again, very similar to the same period a year-ago, on a non-GAAP basis, excluding approximately $50,000 of equity-based compensation expense. U. S. GAAP operating margins for the first quarter this year decreased slightly to 30% of sales from 32% last year. The non-GAAP operating margins for both the first quarters of 2012 and 2011 were at 39%. This GAAP net income for the first quarter increased by 4% to $4.9 million and fully diluted net income per share increased 5% to $26. This compares to $4.7 million and $0.19 respectively for the first quarter of 2011. On a non-GAAP net income basis, it increased 6% to $5.9 million as compared to the same period last year. And our non-GAAP fully diluted net income per share increased 4% to $0.24 per share as compared to the same period last year. Other related data, shipped units by CEVA licensees during the first quarter 2012 was 278 million units, down 6% for the first quarter of 2011, and 18% higher than the first quarter of last year. Of the 278 million units shipped, 254 million or approximately 91% are for baseband chips and reflect 5% lower volume as compared to the prior-year in which 266 million units of baseband were shipped. As for March 31, 2012, 27 licensees were shifting daily incorporating our technologies one less than the prior quarter and we have 36 shipping customers under licensing arrangement again one lower than the prior quarter. As for the balance sheet, as of the end of March, CEVA’s cash and cash equivalent balances, marketable securities and long-term bank deposits were approximately $163 million compared to approximately $165 million as of the end of 2011. During the first quarter we generated positive cash flow from operations of approximately $6 million up set by $9.5 million for our buyback program. Our DSO’s for the first quarter of 2012 were 33 days as compared to 30 days for the fourth quarter of last year. As we previously disclosed, in 2010 our board authorized a share repurchase program of up to 2 million shares. In the first quarter 2012 we repurchased approximately 400,000 shares of our common stock at an average price of $23.8 per share for total consideration of approximately $9.5 million, and we have additional 1.6 million shares available for repurchase under the existing 10b-18 plan. Now for the guidance for the second quarter. We see a healthy licensing environment and good pipeline. And the royalties, our guidance reflects the seasonal low shipment quarter including Nokia’s weakness in the mobile phone segment. As for the full-year guidance we're adjusting downward our full-year guidance due to the following reasons. Unanticipated royalty softness for the second quarter as I just explained prolongs challenges facing Nokia on its 2G and new 3G phones which are currently planned to incorporate CEVA DSP and the ASP erosion in the competitive 2G feature phone Chinese market. Our revised guidance for the full-year of 2012. Total revenue is expected to be in the range of $67.2 million to $61.2 million. Gross margin is expected to be approximately 93% to 94%. Operating expenses including equity-based compensation expenses are forecasted to be in the range of $37.4 million to $39.4 million including equity-based compensation expenses of approximately $5.3 million and approximately $0.2 million recorded in the cost of goods. Annual operating expenses excluding equity-based compensation expenses are expected to be in the range of $32.1 million to $34.1 million. Interest income net is expected to be around $3.4 million. Our tax rate for the year is expected to be approximately 15% on GAAP basis and 14% on non-GAAP basis. Share count for 2012 is expected to be in the range of 23.6 million to 24.4 million shares. U. S. GAAP EPS is expected to be in the range of $0.66 to $0.78 per share, and our non-GAAP EPS, forecasted to excluding aggregated $5.5 million of equity-based compensation expenses net of tax is expected to be in the range of $0.87 to $0.99 per share. As for the guidance for the second quarter of this year. Revenue is expected to be in the range of $13 million to $14 million. Gross margin is expected to be approximately 93%. Operating expenses, including equity-based compensation are expected to be in the range of $9.6 million to $10.6 million. Our anticipated total operating expenses for the second quarter $1.2 million is attributed to equity-based compensation expense, excluding that our operating expenses would be $8.4 million to $9.4 million. Interest income net is expected to be approximately $840,000. Tax rate for the second quarter is expected to be approximately 16% for GAAP and 14% for non-GAAP. Our share count for the second quarter is anticipated to be around 24 million shares. U.S. GAAP EPS is expected to be in the range of $0.10 to $0.12 per share and non-GAAP EPS excluding the aggregate $1.3 million of equity-based compensation expenses net of taxes is expected to be in the range of $0.15 to $0.17 per share. Operator, you could now open the floor for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Gary Mobley of Benchmark. Please go ahead.
Gary Mobley - The Benchmark Company: Hi, guys. Regarding your market share for cellular basebands, what is your estimate for the just reported quarter and when might we start to see that market share inflect upward, I am assuming you’re going to be trending below 40% throughout the year, but just; is it all -- the market gains is it all contingent on Nokia’s transition to CEVA based 3G basebands looking out into fiscal year ’13?
Yaniv Arieli: Hi, Gary. Let me start to note the market share as for this last quarter is record high, its 46% of the worldwide baseband sold based on the Strategy Analytics data that we have been giving over the last couple of years. So it is quite high and we do still believe that its going to continue to be in the -- above 40% for sure over the next – throughout this year, no reason for it to loose and to go down and I’ll get Gideon to give you a little bit more flavor about the Nokia related section of the question.
Gideon Wertheizer: First of all, the shortfall or the problem that they have -- Nokia has in the smartphone actually we're taking benefit. As we said in the call, we're not planning to be at the Nokia smartphone but when they loose smartphone share, say for Samsung and they are loosing share in the smartphone to Samsung, we will directly benefit from that. So the 3G is growing, I mean we see it. I mentioned in the call that in the key customers we see 2X a sequential growth in the 3G. The Nokia 2G that’s something that we need to take time and wait. First of all you don’t have everyday situation where a gorilla like Nokia is loosing share dramatically. Now there could be two scenarios; one scenario is that they will get their acts together and fix the problem that they have and they mentioned -- they mentioned the lack of touch device and then how things will be fixed immediately and then from going back to the market share will grow because of they’re going in the 3G. The other scenario that they will start loosing the momentum there and the share will somehow or the left over Nokia somehow will be split between whoever the [routine] Widebook’s OEM, then its helpful for us, we will benefit but we don’t know exactly who will bear because MediaTek can take some, Spreadtrum can take some, MStar – Spreadtrum, MStar are our customers. So this is something that we don’t know.
Gary Mobley - The Benchmark Company: Okay. And getting a point of clarification, I know you generated growth east from about 1 billion units in 2011, and you mentioned 1.7 billion forecast, I just didn’t get the timeframe for that.
Gideon Wertheizer: We say three years. Within three years we believe that we’re going to be at the 1.7 billion.
Gary Mobley - The Benchmark Company: Okay. And last question for me; regarding audio and voice processing I am assuming your main competition there is Audience and is there a royalty component for these types of licensing arrangements similar to cellular basebands?
Gideon Wertheizer: It’s a bit higher, because this goes into a smartphone. Audience is – it’s not really a competitor because Audience is a chip company and we're an IT company and they’re not – eventually they are not working with us but the customer, I mean, the customer that I mentioned in the call eventually will compete with Audience and there was another customer a quarter ago that also will compete with Audience.
Yaniv Arieli: By the way Gary, this is a new customer that Gideon mentioned in the U.S., it’s a new customer that has never used our technology before.
Gary Mobley - The Benchmark Company: All right, thanks guys.
Yaniv Arieli: Thank you.
Operator: The next question comes from Suji De Silva of ThinkEquity. Please go ahead.
Suji De Silva - ThinkEquity: Thanks. Hi, Gideon. Hi, Yaniv. So with the shared record level, can you talk about the trends to disaggregate those between 3G share and 2G share what the trends there are for you guys?
Gideon Wertheizer: Well, you know the 3G share is something that we're just started and we're encouraged about what Broadcom said yesterday that they are, basically surplus -- the 3G revenue surplus the 2G revenue, so that’s -- we have few customers -- key customers that are now taking significant share at Samsung. Now in 2G basically, for us 2G is kind of a baseline, meaning we don’t anticipate too much movement in terms of volume or share loss. We still have the opportunity, there are some opportunities for our customer to capture more share for MediaTek. There are some opportunities to go to – there are some growth synergy and it’s like moving to smartphone alert. The challenge in the 2G and I mentioned this in the call is the price erosion. Now this will change because the market itself is changing from feature phone to smartphone and all of them, all of because our customer are moving towards smartphone and this carries a higher ASP and eventually higher royalty for us.
Suji De Silva - ThinkEquity: Okay. And as we look ahead to Nokia 3G, well in 3G ramping up in 2013. How competitive is their platform do you think when it comes out versus the indigenous China offering?
Gideon Wertheizer: Well, it all comes to how Nokia will deal with the mobile phone segment. They are competitive in terms of supply chain and the capabilities to do phones. When you go to the mobile phone segment, people -- I wouldn’t make that distinction, this is a feature phone and this is a smartphone. What Nokia is doing it in the 3G is literally a smartphone. They make a touch device, once they have the touch device they will max it to the internet, they have everything and they have a powerful platform to go the market, the CS-40, the CS-30 and dementedly the new coming; these are very powerful product. It looks to me that they are busy with the smartphone now and just don’t take resources to switch; it’s – I mean, this is our perception. But you can’t ask this Broadcom, we're relying on what they are saying.
Suji De Silva - ThinkEquity: Okay. Thank you.
Gideon Wertheizer: Thank you.
Operator: The next question comes from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa - Chardan Capital Markets: Yeah, thanks for taking my question. Gideon, you’ve talked about some of the newer markets the Auto market, the TV markets, Set-Top Box. Can you give us some sense on what your cycle is in terms of getting some meaningful penetration there and what are some of the challenges in terms of displacing some of the incumbent solutions that are present in those products?
Gideon Wertheizer: Well, when it comes to the whole market, the platform that we are having there is audio, and the vision and imaging platform there multimedia. We are – these are early days still. We are in much more advanced stage when it comes to the mobile space. In the home and specifically the Smart TV – in marketing we have the right product, but these are early days to be specific.
Jay Srivatsa - Chardan Capital Markets: Okay. You mentioned the ISP erosion in the 2G market which has prompted you to lower guidance for the full-year, in China specifically. There seems to be a sense that a similar type of erosion could occur in the 3G space as well in China. So what -- as you look forward to your prospects in terms of gaining more traction from some of the handsets in China, well how do you see the landscape playing out in terms of your own royalty revenues from there?
Yaniv Arieli: Hi, let me try to help you out, its Yaniv. When we look at what MediaTek’s CFO said about the low-end of 2G market, he said that a week a so ago that he now anticipates 25% to 30% erosion versus only two months ago which he mentioned somewhere around the 15% to 20% for 2G and we're specifically talking about 2G. So this is something that was not anticipated by us nor by bigger players like MediaTek even a month or two ago. And this is something that we will see and this is the main aspect that we've been cautious about and explain that this is one of the reasons of lowing especially the second half royalty associated with our big market share and success in the 2G space worldwide. So this is just input that we received from some of the big players in the space, I am not sure this includes and is true for all the players, but most likely it has a significant or can have a significant effect. When we talk about this low-end 3G and EDGE, still the pricing could be twice as more expensive including the royalty contribution to us. So although you’re absolutely right, but over time when this market evolved and the volume evolved, but right now in China you have maybe 10% to 14% smartphones and the rest, the bulk of it is not, when that continues to increase then the pricing as well will go down, but still starting point there is 2X more than where we are at 2G. So its more of a tradition period for us, specifically in the Chinese market, through worldwide for 3G and this is the way we see it, and it didn’t expand the more EDGE based and the more feature phone, touch screen, picture rich phones in China then our contribution is still with the same 1.3 billion devices it will be higher.
Jay Srivatsa - Chardan Capital Markets: Thanks, Yaniv. Thank you.
Yaniv Arieli: All right. Thank you.
Operator: The next question comes from Anil Doradla of William Blair. Please go ahead.
Anil Doradla - William Blair & Company: Hey, guys the guidance that you have provided for the fiscal year, can you walk us through the degree of conservativeness that you’ve baked in, its about what 7.5% on the revenue and about 10% on the EPS. Do you feel that you’ve baked in enough conservativeness based on trends and based on your visibility, any color on the licensing front and royalty side would be helpful? Thank you.
Yaniv Arieli: Sure. Let me start with the licensing, you know our comfort zone for licensing that we have been quite successful was expected for a pretty long period of time, its somewhere between $4 million to $5 million and when we say that we have a strong licensing either execution or a pipeline we are referring more to the high-end of that guidance. So at least for the near future for Q2 we did say that we believe that our licensing pipeline is strong and based on the product introduction that Gideon explained, I think we have one of those best and more advanced product portfolio for every segment of the market, not necessarily baseband anymore, but totally a different market and when we talk about that, to also to take us to a stronger play in the second half. So I would say somewhere between in our comfort zone plus would be what we have in mind for the rest of the year is to try to execute in the licensing. And …
Anil Doradla – William Blair & Company: Sorry, sorry -- go ahead.
Yaniv Arieli: Okay, that’s the picture in the licensing. The royalty that’s -- it’s a little bit easier in the shorter run and then a little bit more tougher on the going forward. And then if you look at the five biggest OEMs that we put just recently last week or two reported there a shipment -- overall shipment. Looking at Samsung the biggest in volume is minus 13% sequentially the shipments from Q4 to Q1, and remember our royalties for Q2 represents Q1 shipments. So Samsung was down 13%, Nokia was down with the problems that we explained 27%. Apple was down 5%. LG was down 23%, and RIM was down 21%. If I do an average we're talking about 17% sequential shipment decline in Q1. Our forecast for Q2 is slightly better than the active analysis, but it’s more or less very close to it. So Q2 it’s a little bit easier to explain and that is mainly because of very strong negative seasonality in fact in Q1 shipments among which Nokia was probably the dominant aspect of it. And for the second half of the year, I think we mentioned its price erosion and it’s the lack of ramp-up or smaller ramp-up for Nokia offset by very strong ramp-up by Samsung and HTC and some new players.
Anil Doradla – William Blair & Company: Great. Now, Yaniv would licensing revenues grow year-over-year in 2012?
Yaniv Arieli: We’re not there yet. We're not there yet, I would kick in probably at very similar levels as last year for a model perspective and if we do better then we’ll be happy to announce, but for a model I think you could take perhaps to slightly lower.
Anil Doradla - William Blair & Company: Thank you very much.
Yaniv Arieli: Sure. Thank you Anil.
Operator: The next question comes from Joseph Wolf of Barclays. Please go ahead.
Joseph Wolf - Barclays Capital: Thanks. Just with regard to the stock buyback that was down in the quarter, the pricing that you did there was higher than the current stock price, I am wondering the inclination of the board or management to continue on the 1.6 million shares or whether you’ve still been buying back stock in April, would be my first question.
Yaniv Arieli: Yes. Thank you, Joseph. We're on the 10b-18 plan, and then as soon as the window opens we could be active and as we mentioned because the average price was higher for what we have executed in Q1 we have the full concession of the board to continue to be active on the big existing plan.
Joseph Wolf - Barclays Capital: Okay. And then, I guess that, with all the licensing activity and the -- I guess, there was some commentary you made on the base stations. Are any of these expected to produce any sort of revenue beyond licensing or I guess what's the timing of anything in terms of the base station or a real opportunity with some of these multi-DSP kind of opportunities. And then I guess, just taking a step back a lot of circling around in the futures on the smartphone. If you look at that as the, is the royalty and licensing 2G, 3G story the same for all of them or I assume most of the licensing right now is completely moved, well its obvious to have 2G, but what's the percentage of the licensing is moving beyond or do you see moving beyond handsets?
Gideon Wertheizer: Okay, they’ll take one step at a time. The base station market it’s a licensing, although I believe we have one customer that our -- probably with the exchange and certify and it will be in production pretty soon. I don’t – I cannot give you exactly the volumes, but it’s ready for production. It really takes – if you may know it takes more time – the design cycle with telecom type of recruitment is larger, but usually license fees are (indiscernible) higher [income operative] market. Now, the second question or the big move …
Joseph Wolf - Barclays Capital: Percentage of 2G versus 3G, 4G.
Gideon Wertheizer: 2G I agree with you.
Yaniv Arieli: The licensing.
Gideon Wertheizer: Licensing, yeah, I don’t think they’re almost fairly (indiscernible).
Yaniv Arieli: No, I don’t -- 2G is more like now a cash cow. People are taking the old design, upgrade them to cost reduction, upgrade them to a smartphone design that use the same engine as they use, most of the design are for 3G and LTE, I mean, the licensing.
Joseph Wolf - Barclays Capital: Okay, but is there a difference between, I mean, I guess you mentioned it with Nokia, but is there any difference between feature phone versus smartphone or is that sort of coming together at the customer-base with very little distinction for you – for CEVA at this point?
Gideon Wertheizer: On licensing front?
Joseph Wolf - Barclays Capital: Yeah, on the licensing – just – can you tell anymore what’s the difference is or is it all coming together?
Gideon Wertheizer: No, no, there are differences. People that are getting into this space have really taken a month or year and they create (indiscernible) multiple version of the chips, feature phones, smartphone etcetera.
Yaniv Arieli: I think, Joseph, maybe what could help you, I mean even if at the end of the day you see a nice touchscreen phone with feature, you don’t know exactly if to call it a feature phone or smartphone, but size will determine – is to get a (indiscernible) and I think that the pricing is related to OEM positions it, if it’s a feature phone or a smartphone will be a much higher rate at the end of the day and that will be a much more expensive chip, baseband chip or absent baseband chip compared to a simple 2G phone. That’s the way probably to differentiate it. And as long as they’re selling and even with the more feature phones today, then the chip prices and the content, then (indiscernible) contribution would be higher.
Joseph Wolf - Barclays Capital: Okay.
Gideon Wertheizer: Regardless how the market …
Yaniv Arieli: Yeah, regardless how the market actually calls it a feature phone or a smartphone.
Joseph Wolf - Barclays Capital: Okay, thanks. That’s helpful. Thank you.
Yaniv Arieli: Thank you.
Operator: The next question comes from Daniel Meron of RBC Capital Markets. Please go ahead.
Daniel Meron – RBC Capital Markets: Thank you. Hi, Yaniv and Gideon. A couple of questions, first of all, I understand the reasons driving the lowered outlook for the year, what gives you the confidence that you guys will be able to integrate into 1.7 billion units, three years out, what is based on, and if it’s a repetitive question, please excuse it, you may because I might have missed some of the commentary earlier. Thank you.
Gideon Wertheizer: Well, the revised guidance that we did has nothing to do with market share loss or change in the landscape. We’re going into 3G space with that effect. The Nokia 3G which was supposed to take place this year should move to next year, but Nokia is a company that essentially will do something, I don’t know exactly what will be their share, but they will do. But there are tons of other design wins in the 3G space. Just to give you an example, because I don’t recall all those examples of feature phones, (indiscernible) but I recall Spreadtrum in the late press release, they’re speaking about 200 design wins for their 3G chips or (indiscernible). These are the things. So that’s the 3G. And a little bit more color on how we got to 1.7, I’ll use the Strategy Analytics forecast for the next couple of years. This is the same data point that we compare every quarter, our market share in baseband, look at the current player that are in the industry today, our customers, some of the different segments we can explain in the market, pretty build it from bottom to top with the existing players in the market, and this is how we got to the 1.7 billion devices.
Daniel Meron – RBC Capital Markets: Okay, I understood. So, now to the cash, so you’ve got the buyback going on, and – again, I might have missed it earlier, but do you still trying to expand two additional areas or adjacent areas in kind of through M&A? Is that something to also look for?
Gideon Wertheizer: Yes. We’re experiencing also with the person now that we've recently dealing with it. You know that we made investment in Gesture Technologies, we’re exploring other (indiscernible) full of all those ideas that we’ve and we’ll keep doing it, but try to find the right things for us to do here. I mean we’re not the last definitely the revised guidance is not something that accelerated.
Daniel Meron – RBC Capital Markets: Right. Okay, I understood. Thank you, good luck.
Gideon Wertheizer: Thank you.
Operator: Our next question comes from Matt Robinson of Wunderlich Securities. Please go ahead.
Matthew Robinson - Wunderlich Securities, Inc: Yeah. Thanks for taking my question. So the working assumption be that we wait for (indiscernible) or whatever it is, Nokia calls their product line of falls Asha before we can expect to see the transition to 3G there?
Gideon Wertheizer: I don’t know, Matt, because what we’re following here is the things that Broadcom is saying because right now they’re the one that – are open and saying that they’re going to go into the 3G mobile phone segment. I don’t know – we don’t know exactly the pattern. The only thing that we know that they’re pushing it for 2013. I know that there are other customers that are working with Nokia in 3G, but again, we’re operating – we’re making assumption that there is no difference here. We will push it for next year. In 2G, as I said before it all comes how they get their act together, they…
Matthew Robinson - Wunderlich Securities, Inc: So the thing is that Asha stuff is TI-based I think and it seems to be sound pretty well and my question is if they are content with that, it could be quite a delay and the feedback – the impression I get is that they’ve formed the price on the 2G and their volumes are starting to pickup there, but we’ll see if that’s sustainable for more than a couple of years.
Yaniv Arieli: Yeah, by the way Matt, I want to just emphasize here, we’re focusing on Nokia, because that is one of the opportunities for Broadcom, the Intel and probably other vendors because Nokia has moved as we all know it’s a multi source in the next couple – few years ago it was the fairly -- it would have been helpful for other clients, their customers in the baseband were robust.
Matthew Robinson - Wunderlich Securities, Inc:
 – :
Gideon Wertheizer: On the 3G, right?
Matthew Robinson - Wunderlich Securities, Inc: Overall – yeah, yeah, overall. Let’s break it down 2G, 3G if you can?
Gideon Wertheizer: Yeah, when it comes to 3G, Samsung is – they’re going very well. We’ve a significant overview and nice share there and sequentially it’s growing very fast, it comes from multiple directions, one of them, it is among the smartphone where Samsung take share for Nokia smartphone. And that’s 3G now, I mentioned in the prepared remark in terms of new design while we repeat these are big names in the 3G, their volume (indiscernible). And Matt, take also into consideration you have the normal positive seasonality in the second half of the year. So it’s a regular business model for us, just a lower starting point because of Q2 and the rest we experiencing and I’m trying to absolute result.
Matthew Robinson - Wunderlich Securities, Inc: Your HTC design is – there appears to be somewhat of a break there with Intel’s, is that something that you think is significant for you this year?
Yaniv Arieli:
Matthew Robinson - Wunderlich Securities, Inc: No, well, I’m sorry, we’re running out of time, I just got a couple more questions, so on the licensing, is it principally the new scope in the application processor that gives us confidence for the licensing, for last year?
Yaniv Arieli: The – we spoke on the licensing agreement that we signed in the audio side, this is behind us. We were speaking about new opportunities that we have for licensing for Q2 – for Q2 if we will carry, that’s a good pipeline, we are on track. These are still opportunities, so which we will not speak about the use of that, but its still audio, its still LTE these are the things that we’re stronger.
Matthew Robinson - Wunderlich Securities, Inc: Okay. Can you just give me the CapEx and depreciation?
Yaniv Arieli: Yeah, no change, it’s about a 100,000 cores that’s what has been in the past.
Matthew Robinson - Wunderlich Securities, Inc: Okay. Thanks a lot.
Yaniv Arieli: Thank you, Matt.
Operator: Our last question comes from Daniel Gelbtuch of Cantor Fitzgerald. Please go ahead.
Daniel Gelbtuch - Cantor Fitzgerald: Hey, guys. Just want to know if you can give us some update on where you see the competitive environment and I guess, relative to the XC4000 and if you see your competitors turning into customers over the next year Q2?
Gideon Wertheizer: The XC4000 is a step-up versus the competitors. When it comes to competitor in our space it was just recent lively report that did the markets where we’ve 90% market share. But its not a matter of competitors that risk all position, its more a matter of how we expand our licensing on those that have used also with in-house DSPs and one of them will definitely Qualcomm. And this is we’re working on that, trying to convince them, they don’t have Qualcomm for example does not have XC4000 like processor and they’re exposed to it.
Daniel Gelbtuch - Cantor Fitzgerald: Okay. Thank you very much.
Gideon Wertheizer: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Richard Kingston for any closing remarks.
Richard Kingston: Thank you. Thanks again for joining us today and for your continued interest and support for CEVA. We will be attending the following upcoming conferences and events and invite you to join us there. J.P. Morgan Global Technology, Media and Telecom Conference on May 15th in Boston. Barclays Capital Global Technology, Media and Telecommunications Conference on May 23rd in New York. Sterne Agee Technology Conference on May 24th, in New York and RBC Capital Markets Communications Technology and Semiconductor Investor Day on June the 5th in Boston. Thank you very much and good bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.